Operator: Thank you for standing by ladies and gentlemen, and welcome to Dynagas LNG Partners’ Conference Call for First Quarter 2021 Financial Results. We have with us Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect Dynagas LNG Partners’ business prospects and results of operations. Such risks are more fully disclosed in Dynagas LNG Partners’ filings with the Securities and Exchange Commission. And I now pass the floor to Mr. Lauritzen. Please go ahead, sir.
Tony Lauritzen: Good morning, everyone, and thank you for joining us in our 3-months ended 31st March 2021 earnings conference call. I am joined today by our CFO, Michael Gregos. We have issued a press release announcing our results for the said period. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures as well as a discussion of why we believe this information to be useful in our press release. Moving on to Slide 3 of the presentation. We are pleased to report the results for the three months ended 31 March, 2021. All six LNG carriers in our fleet are operating under their respective long-term charters with international gas producers. Despite the ongoing operational challenges the industry is going through with respect to COVID-19, we are pleased to report a 100% utilization for the fleet for the first quarter of 2021. For the first quarter of 2021, we have reported a net income of $15.9 million, earnings per common unit of $0.36, adjusted net income of $10.6 million, adjusted earnings per common unit of $0.21, and adjusted EBITDA of $23.9 million. We paid in February 2021 a quarterly cash distribution of $0.5625 for Series A preferred unit for the period from November 12, 2020 to February 11, 2021, and a quarterly cash distribution of $0.546875 per Series B preferred units for the period from November 22, 2020 to February 21, 2021. Subsequent to the quarter, we paid in May 2021 a quarterly cash distribution of $0.5625 for Series A preferred unit for the period from February 12th to May 11th, 2021, and a quarterly cash distribution of $0.546875 per Series B preferred unit for the period from February 22nd to May 21st, 2021. Also, subsequent to the quarter, we issued about $2.15 million worth of common unit at an average price per unit of about $2.87 under the amended and restated $30 million ATM sales agreement, which has about $26.5 million of remaining availability. We also entered into a new time charter party agreement with Equinor for the employment of our LNG carrier Arctic Aurora. Under the new time charter agreement, the Arctic Aurora is expected to be delivered to Equinor in September 2021, immediately upon expiration of the current charter party with Equinor. This new time charter party is about 2 years and the annual gross revenues from the time charter agreement are expected to be about $21.5 million. Going forward, we intend to continue our strategy of using our cash flow generation to delever our balance sheet, reinforce our liquidity, and generate cash as to grow the equity value over time, which will enhance our ability to pursue future growth initiatives. I will now turn the presentation over to Michael who will provide you with further comments to the financial results.
Michael Gregos: Thank you, Tony. Moving over to Slide 4. Our quarter results continue to reflect our stable operating model as our fleet operates with 100% utilization. Adjusted net income for the quarter increased by 49% to $10.6 million compared to the first quarter of 2020 and our adjusted EBITDA was virtually unchanged at $23.9 million compared to the first quarter of 2020. The increase in adjusted net income compared to the same period last year is attributable to a reduction in our weighted average interest rate from 4.89% in the first quarter of 2020 to 3.13% in the first quarter of 2021 and a reduction in our weighted average indebtedness from $662 million to $614 million. Since our debt refinancing in 2019, our profitability has steadily increased and has now stabilized at current levels with adjusted earnings per common unit of $0.21 for the first quarter, reflecting our stable contract-based operating platform and financial profile. Slide 5. In line with our strategy of using our contracted cash flow to reduce leverage, for the quarter we utilized 71% of our adjusted EBITDA to service debt and interest payments. For the quarter, we generated $22.9 million in operating cash flow, including a positive working capital adjustment of $4 million. Excluding working capital changes, operating cash flow for the quarter was $18.9 million, and after debt service payments and payments to preferred unitholders, we generated $4 million, in line with our prior guidance. For the quarter, our cash balance increased by about $9 million to $84 million due to the aforementioned changes and proceeds of $1.3 million from issuance of common units under our ATM program. Slide 6. As of March -- as of end of March, we had $603 million debt outstanding under one credit facility, all of which has been hedged with an interest rate swap for the life of the loan until its maturity in September 2024. We have no scheduled capital expenditures until 2022, which is when 3 of our LNG carriers will undergo their third special surveys and installment of their ballast water treatment plants. Slide 7. We are continuing to execute our strategy of organically deleveraging our balance sheet with the cash flows from our contracts, which we believe is the only sustainable way of positioning the partnership for future growth. Compared to the same period two years ago, before our refinancing in 2019, our weighted average interest has decreased by 53% and our weighted average indebtedness has decreased by $108 million, which has resulted in a reduction in interest expense of $7 million per quarter. This natural deleveraging process takes time, and we expect that as a result of the $48 million amortization requirement on our sole credit facility, our total projected net leverage will decrease from 5.4x to less than 3.5x in 2024 on a steady-state basis. Slide 8. In this slide, we show our fleet-wide cash flow breakeven per day per vessel versus our contracted time charter rates for the quarter. If we look at the breakdown, we have a competitive cash EBITDA breakeven of $17,000 per day per vessel. Cash interest expense represents $8,900 per day per vessel and repayment of debt is around $22,000 per day. So our contracted fleet time charter equivalent of $60,680 per day per vessel is well above fleet cash breakeven levels of $48,000 per day per vessel, excluding preferred distributions. That wraps it up from my side. I will pass over the presentation to Tony.
Tony Lauritzen: Thank you, Michael. Let's move on to Slide 9. Our fleet currently counts six LNG carriers with an average age of about 10.9 years. The charters of our vessels are substantial gas producers being Equinor, Gazprom, and Yamal LNG. The fleet's contract backlog is about $1.12 billion, equivalent to an average backlog of about $187 million per vessel, and the fleet's average remaining charter period per vessel is about 7.7 years. Moving on to Slide 10. All the vessels in our fleet are employed on time charter contracts with asset strong counterparties under which the charter pays all major voyage-related variable costs such as fuel, canal fees and terminal costs. Two of the vessels, namely the Lena and Yenisei River, are under dry dock and OpEx cost pass-through contracts, and in general, provides protection for reasonable inflation in operating expenses. We are focused on building term charter coverage. And after concluding a new 2-year charter contract with Equinor for the vessel Arctic Aurora, our earliest potential availability will be in the third quarter of 2023 for the same vessel. The next available vessel after the Arctic Aurora may be the Clean Energy, which contract expires in 2026. Bar any unforeseen events and vessel scheduled dry dockings, our fleet is 100% employed for the remainder of 2021, 100% for the year 2022 and 94% for the year 2023.  Although our revenues have not been affected by the COVID-19 situation, as all of our vessels are employed on term contract, we are monitoring the situation and outlook. From an operational point of view, we are taking strict measures to protect our seafarers, office staff and other stakeholders along the logistics chain. Let's move on to Slide 11. 5 out of our 6 LNG carriers have been designed, constructed in accordance with and are assigned with ice class 1A FS notation. These LNG carriers are also winterized down to minus 30 degrees. While the ice class notation is in part concerned with the vessel's hull and machinery and icebreaking capability, the winterization features are concerned with features that are installed to ensure trouble-free operation in subzero areas. Our partnership and our sponsor represent a total market share of about 82% of the global ice class 1A FS-equivalent LNG carrier fleet. Our fleet is frequently calling icebound and subzero areas, indicating our charters are able to unlock the value of the ice class notation and winterization features. The fleet's typical area of navigation with regards to icebound and/or subzero areas are the Northern Sea route, where the vessels can operate during summer season, the Sakhalin Island and Northern Norway. As our fleet can perform operations in icebound/subzero and conventional areas without any significant difference in operating cost, between the 2 areas, we believe our fleet has a broader market reach compared to the same type of vessels without ice class or winterization features. Let's move on to Slide 12. We are an established and experienced LNG shipping company, known as a reliable service provider, able to operate in particularly harsh environments as well as conventional areas. Our fleet is unique and provides for trading versatility. Our focus continues to be on operational performance, which translates into high utilization and cost control. Our vessels are employed on term contracts, which cash flow is largely utilized to organically reduce debt. At the current, we are amortizing our debt with $48 million per annum, and we expect that the reduction of debt will reduce our breakeven cost over time. We expect that the solid contract revenue backlog of $1.12 billion and competitive cost of debt will allow us to delever our balance sheet, reinforce our liquidity and generate cash as to build equity value and our cash position over time, which we believe will enhance our ability to pursue future growth initiatives. We have now reached the end of the presentation, and I now open the floor for questions.
Operator: [Operator Instructions]. Our first question for today is from Randy Giveans from Jefferies.
Randy Giveans: I guess, first question, in the release and even just now in your closing comments, you talked about some future growth initiatives. So maybe what are some of those potential opportunities? Would it be somewhat large-scale consolidation that we've seen in the space or maybe even selling into that market or are you just looking at kind of drop downs from the parent?
Michael Gregos: Well, I think, right now, all we can say is that we're focusing on organically deleveraging the balance sheet. Each quarter, the process -- the partnership is stronger, and it's just better positioned for future growth opportunities. We're not alluding to anything specific. Just we need to position the partnership for whatever future growth opportunities that come up.
Randy Giveans: Okay. That's fair. And then with that growth, we're continuing to see ongoing ATM, but it's just like very small numbers, right, $2 million here, $2 million there. Is that the plan just to continue to slowly trickle out shares, and why do it here at under $3?
Michael Gregos: Yes. Yes. No, you're right. I mean, we've issued very small amounts under our ATM program. I think we were doing it primarily to test the waters and to see how much money can be raised and what the impact is on the share price. Going forward, if we are to raise further equity under our ATM program or otherwise, we believe we need to have a pretty good idea of what the money will be used for. So, I think we're going to be reluctant to issue meaningful amounts of equity without some form of identified use of proceeds.
Randy Giveans: Got it. Okay. And then I guess the last question on the preferreds. Clearly, your highest cost of debt are those preferreds. Any plan on those? Just kind of continuing to keep both the series out there, maybe growing through an additional preferred or doing the opposite and kind of paying those down?
Michael Gregos: Yes. No, I mean, listen, we do have a lot of cash on our balance sheet. But we -- to a certain extent, we are insulated given our contract-based operating model, but we do want to retain some free liquidity as a protection in case there's an operational issue or something unexpected occurs. So, we're mindful of initiating preferred buyback program or buying back the -- or redeeming a portion of the preferreds.
Operator: [Operator Instructions]. Our next question is from Ben Nolan from Stifel.
Ben Nolan: So now that you have a new contract with Equinor, very little -- well, no near-term market exposure, the debt balance keeps coming down. The cash balances, Michael, you just talked about, is rising. I know in the past you had indicated that there wasn't really any flexibility under your credit facility. But do you think, at some point, that could be a conversation to be had that, “Hey, the credit profile is materially better, can we get some flexibility that enables us to have conversation about growth?” or other things as opposed to sort of being limited under the terms of the credit agreement?
Michael Gregos : Well, we don't want to give false promises. I think that discussion can be held. We have said in the past that under the current credit facility, it will be -- I mean, right now, as you know, it's prohibited. In order to reinstate some form of a dividend, that will be a difficult discussion with the bank. At this particular stage, we feel that, that discussion is, if we initiated, it's not the right time, and it's not -- we don't think we would be successful in that discussion. So, I think it's a discussion that we can have further down the line as the leverage comes down. I mean, if you look at our leverage, I think it's a bit too high in order to have this discussion at this particular stage. We have to be in a position of lower leverage in order to have that discussion.
Ben Nolan: Sure. And honestly, I wasn't even thinking about dividends. That seems like it's a little ways away. I was thinking more about, okay, well, you're talking about future growth and some of these other things. And again, I agree that the leverage probably would need to come down some, but I guess the idea is we've been talking about the credit profile is better. Is it, at some point, you open the window so that some capital can be recirculated into growth opportunities that may be you're not allowed to do at the moment, and that's sort of where I was thinking, but...?
Michael Gregos: Ben, just to be clear, our credit facility does not prohibit us from growing the company. As long as, you know, we can comply with the financials, we have some leverage covenants, but there's definitely no restriction on growing the company.
Ben Nolan: Okay. So, if the opportunity presented itself, you could buy, let's say, a portion of one of the sponsor vessels today if you met the credit or debt covenant restrictions, correct?
Tony Lauritzen: Yes, that is correct, Ben.
Ben Nolan: Okay. Cool. Well, actually, Tony, I'm curious -- or maybe another way to think about that is even not a drop down. I mean there's quite a few tenders being talked about in the market. Obviously, the sponsor might be able to participate in those. Any thoughts as to whether that might be something that the partnership -- now that you're not really paying a dividend, you could sort of warehouse growth capital that doesn't necessarily immediately generate cash flow. Any thoughts about possibly you participating in something like that?
Tony Lauritzen: Yes, Ben, look, I don't think it's impossible that in the future that the company could undertake growth CapEx directly. It is something that is being discussed. It's something that we're looking at, but still we would need to free up more capital and get the leverage down a bit, but yes that's not an impossibility.
Ben Nolan: And is the Group looking at some of these opportunities that are in the market, out of curiosity?
Tony Lauritzen: Yes, sure. I mean I think pretty much. Yes, for sure. I mean there are many tenders at the moment for various projects. And yes, the sponsors are looking at it, the wider group is looking at it. And I think, to be honest, pretty much every other LNG ship owner is looking at it, too. So definitely, there’s a lot of new projects on the LNG scene. I think we've seen the re-emergence of a bit longer charters tied up to -- linked to these various projects. So, I think LNG is a pretty, pretty interesting space at the moment.
Ben Nolan: Yes. Are the returns -- one of the things we've heard is that the returns are kind of lackluster. How do you find sort of what's being bantered about with respect to return profile on new long-term contracts and assets for new projects?
Tony Lauritzen: No, that's a really good question. And of course, most of the projects that we're talking about in general, they -- commercial offers have not been sent in, so it's kind of early days. So some of them commercial offers are in. Our general feeling is that returns are better, less competitive than what they used to be. Amortization period of vessels may be shorter. There is -- owners want to protect themselves for inflation going forward. So I think what we're seeing is before having seen any conclusion of any project, it just looks like the market is offering a little bit higher numbers, more conservative, so longer periods, protection of inflation and just more robust charter parties in general.
Operator: There are no further questions at this time. I will now hand back to Tony Lauritzen, CEO, for any closing comments.
Tony Lauritzen: We would like to thank you for your time and for listening in on our earnings call. We look forward to speak with you again on our next call. Thank you very much, and stay safe.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude the call. Thank you, everyone, for joining. You may now disconnect.